Operator: Good afternoon, ladies and gentlemen, and welcome to the ON24 Second Quarter 2025 Earnings Conference Call. [Operator Instructions] This call is being recorded on Thursday, August 7, 2025. I would now like to turn the conference over to Lauren Sloane. Please go ahead.
Lauren Sloane: Thank you. Hello, and good afternoon, everyone. Welcome to ON24's Second Quarter 2025 Earnings Conference Call. On the call with me today are Sharat Sharan, Co-Founder and CEO of ON24; and Steve Vattuone, Chief Financial Officer of ON24. Before we begin, I would like to remind everyone that some information provided during this call will include forward-looking statements regarding future events and financial performance, including guidance for the third quarter and fiscal year of 2025, as well as certain third quarter and full year non-GAAP projections. These forward-looking statements are subject to known and unknown risks and uncertainties that could adversely affect ON24's future results and cause these forward-looking statements to be inaccurate, including our ability to grow revenue, attract new customers and expand sales to existing customers, the success of our new products and capabilities, other statements regarding our ability to achieve our business strategies, growth or other future events or conditions such as the impact of adverse economic conditions and macroeconomic deterioration. ON24 cautions that these statements are not guarantees of future performance. All forward-looking statements made today reflect our current expectations only, and we undertake no obligation to update any statements to reflect the events that occur after this call. Please refer to the company's periodic SEC filings and today's financial press release for factors that could cause our actual results to differ materially from any forward-looking statements. We'd also like to point out that on today's call, we will report both GAAP and non-GAAP results. We use these non-GAAP financial measures to evaluate our ongoing operations and for internal planning and forecasting purposes. Non-GAAP financial measures are presented in addition to and not as a substitute for financial measures calculated in accordance with GAAP. To see the reconciliation of these non-GAAP financial measures, please refer to today's financial press release. I will now turn the call over to Sharat. Please go ahead.
Sharat Sharan: Thank you, and welcome, everyone, to the ON24 Second Quarter 2025 Earnings Call. I appreciate you joining us today. With me is Steve Vattuone, our Chief Financial Officer. Our Q2 results exceeded our expectations. We drove improvements in ARR performance, ending the quarter with $127.1 million in total ARR and core platform ARR of $125.1 million. Our in-period gross retention was the highest in 4 years, supported by deeper customer engagement and expanded use cases. Our $100,000-plus ARR customer base grew in Q2, signaling traction in enterprise segments with high-value accounts leveraging our solutions to deliver pipeline and business results. We saw continued win-back momentum from boomerang customers, many of which are returning and increasing their commitment with us compared to their previous engagement. Our product innovations, including AI-powered ACE solutions, continue to build momentum. A mid-teens percentage of our customers are paying for AI-powered ACE, a number that has grown consistently since we launched it last year. We achieved positive adjusted EBITDA in Q2 and generated positive free cash flow for the sixth consecutive quarter, underscoring our continued focus on operational discipline. Lastly, total revenue beat our expectations coming in at $35.3 million. We believe we have laid a solid foundation for improvement in our top and bottom line performance in the second half of the year. Our positive momentum is directly tied to the progress we have made with our strategic initiatives around AI innovation, enhanced enterprise go-to-market execution and a commitment to positive cash flow. First, I will elaborate on our product and AI innovation strategy. Our AI innovation builds on our strength in first-party data. We have over 1 billion engagement minutes annually on our platform, and we have hundreds of thousands of webinar experiences annually. In the age of AI, content and data wins. Our vision here is twofold: one, moving from single digital events to omnichannel global campaigns, enabling our customers to create intelligent, personalized and scalable content ecosystem from every live event they deliver; two, helping our customers take the global campaigns and content that they have created on our platform and make it more discoverable in the new world of AI search and large language models; and to do all this in an automated, scalable way, which drives measurable business outcomes for our customers. Imagine, you've just hosted a 60 to 90-minute long-form live product event experience. For many companies, that's where it ends. But with ON24, the event is just beginning. We automatically turn that long-form session to transcripts, blog posts, key takeaways, short- form video clips, even social content. Now, layer on our multi-language translation capabilities. That same webinar can be translated and launched in French, German, Spanish for EMEA markets, and Japanese, Korean, Mandarin for APAC markets. Suddenly, one digital event becomes a global campaign that reaches audiences worldwide, with personalized messaging and content tailored to each market. But we're not stopping there. Now, we can leverage our AI-powered ACE to hyper-personalize content. In this new world of AI search and large language models, content discoverability is critical. It's not just about creating content, it's about making sure that content is found by the right people, in the right places, and increasingly, by AI search and chatbots. Specifically, our product and AI innovation strategy is anchored on five core pillars, which enable our customers to benefit from positive business outcomes, greater efficiencies and global scalability. Let's touch on these 5 important pillars. First, our AI-powered segmentation and personalization solutions allow customers to leverage our unmatched first-party engagement data to tailor every interaction and create dynamic personalized audience journeys. Second, ON24's AI-powered Analytics and Content Engine delivers AI-generated content and nurture capabilities, enabling teams to turn that single event into ongoing nurture opportunities. With AI-powered ACE, engagement events are instantly repurposed into derivative content like blog posts, e-books, social snippets, video assets and more, creating a powerful content engine that fuels multi- channel engagement, enables always-on nurture and propels funnel velocity. Third, we just announced the launch of the first phase of ON24 Translate, integrated AI-powered multilingual translation capabilities, which will allow customers to localize registration pages, captions and post-event assets into 64 languages. We also offer solutions to translate webinars, allowing our customers to dramatically scale their business and drive global marketing campaign opportunities. Fourth, ON24 IQ, our autonomous event automation and workflow manager, is an intelligent AI assistant that streamlines event creation, session setup, and live Q&A moderation. These AI-powered tools streamline complex workflows by simplifying event execution and ultimately driving smarter, more personalized events. Finally, we continue to enhance our unmatched first-party customer engagement data and performance insights, delivering real- time engagement signals and intent data that helps customers turn insights into actions. Now, go-to-market teams can effectively personalize outreach, nurture audience engagement, and propel significant pipeline and revenue growth for their business. Together, these 5 pillars are central to the ON24 platform. Our enhanced solution set enables customers to use ON24 to expand well beyond a single engagement event, strengthening audience reach and engagement, increasing funnel velocity, scaling globally, and improving pipeline and revenue performance. Let me give you an example, especially as it relates to the ON24 AI-powered ACE solution. An Italian affiliate of a major pharmaceutical organization partnered with ON24 to host a virtual event for senior oncologists across the country. The affiliate reaffirmed its commitment to the HCP community by presenting its latest research and development efforts in oncology and highlighting clinical data from recent studies. By leveraging ON24's platform, the affiliate delivered an immersive, multi-touch live experience that engaged participants in real time. To extend the value of the event beyond the live session, they utilized ON24's AI- powered content engine to generate derivative assets such as key moment highlight videos, event summaries, transcripts and concise takeaways, all centralized on a dynamic, always-on nurture page. Through this collaboration, the pharmaceutical affiliate not only educated its HCP audience, but also created a scalable content ecosystem to sustain engagement and drive long-term impact. The second strategic initiative I want to cover is our enterprise-focused go-to-market strategy. In Q2, ON24 made meaningful advances by aligning our sales, customer success and marketing organizations around a unified, solutions-based approach to address the more complex needs of global enterprises and drive value and long-term growth in this important segment. This go-to-market shift allows our sales and customer success teams to directly align with our customers' priorities such as improving pipeline performance and deepening customer or client engagement and retention. We are delivering meaningful value through innovation that is helping our enterprise clients drive engagement, scale globally and improve their business outcomes. With the help of our differentiated solution, we are experiencing healthy customer activity and stable platform demand. We are seeing the results of these initiatives in some key metrics. The average core ARR per customer reached approximately $80,000 at the end of the second quarter, the highest we have ever reported. And we added 5 net new customers with over $100,000 in ARR. We have also continued to see a strong positive trend with win-backs from boomerang customers in Q2. In addition, our regulated industries business, which includes financial services and life sciences, continues to build with growth ARR from these sectors increasing as a percentage of our business. Let me give you some customer examples, starting with some of the new logos that we closed in Q2. A leading global payments platform faced several challenges in scaling their demand generation efforts, including low registration-to-attendee conversion rates. By adopting the ON24 platform and AI-powered ACE capabilities, they unlocked a 24/7 omnichannel approach and turned their webinars into a predictable, revenue-generating pipeline, exceeding their conversion goals and driving significant business impact. Another notable win in Q2 was a leading financial services company that adopted the ON24 platform and AI-powered innovations across 3 key business lines: investment management, retail and wealth management, and workplace solutions. This customer was a win-back for us. They tried another solution, but it was not providing the results they desired. With ON24's interactive engagement capabilities, always-on content and seamless integration with their tech stack, they can leverage real-time data and insights to drive sales. Our solution propels global scale by enabling multi-language programs across business lines. Another new customer that was a boomerang is a leading health care solutions provider that sought to boost pipeline generation and propel funnel velocity. Adopting ON24's platform, including AI ACE and advanced analytics, they improved attendee experiences, generated valuable first-party engagement data and insights, and delivered derivative content at scale. Importantly, ON24's reliable and scalable solution drove greater pipeline velocity and revenue generation. Next, I'll provide a few examples on the renewal and expansion front. We closed one of our largest renewals, a high 7-figure commitment, spread over multiple years. The customer provides education and certification for the technology industry. On the expansion front, I would like to highlight a couple of notable deals. A large and fast-growing insurance organization based in EMEA initially adopted ON24 in 2022. They expanded the use of ON24's platform and signed a multi-year 7-figure deal. A global leader in life sciences and diagnostics renewed and expanded its partnership with ON24 with a 7-figure multi-year deal with a commitment increase of over 50%. As part of this multi-year renewal, the customer also expanded its relationship with ON24 by adding our Engagement Hub and AI-powered ACE capability. In summary, the positive momentum in the quarter underscores that we are making progress on our strategic goals. Before I turn it over to Steve, I'd like to say that as I look at the first half performance in 2025 compared to the equivalent period last year, almost all customer and financial metrics have trended positively. ARR performance, while marginally negative, has improved meaningfully as compared to the same period last year. Gross retention and new business performance increased significantly. Free cash flow margin performance continues to be strong. And our win rate has improved. All these factors give us confidence in our expectation that the business will be ARR positive in Q4. Now, I will turn it over to Steve.
Steven Vattuone: Thank you, Sharat, and good afternoon, everyone. I'm going to start with our second quarter 2025 results and will then discuss our outlook for the third quarter of 2025 and full year 2025. Total revenue for the second quarter, which includes revenue from our Virtual Conference product, was $35.3 million. Total subscription and other platform revenue was $32.4 million. Total Professional Services revenue was $2.9 million, representing approximately 8% of total revenue. Revenue from our core platform, including services, in Q2 of 2025 was $34.6 million. Moving on to ARR. ARR represents the annualized value of all subscription contracts at the end of the period and excludes professional services and overages. Total ARR at the end of Q2 was $127.1 million, and ARR related to our core platform was in line with expectations at $125.1 million. We are encouraged by the positive momentum we are seeing in our business. As Sharat mentioned earlier, during Q2, our in-period gross retention was the highest it has been in the past 4 years. In addition, we continued to win back customers, a trend we have seen over the past year. We believe that these boomerang customers highlight the differentiated nature of our solution. Sharat provided some examples of customers that returned to us after trying other tools. They returned to ON24 because the other products did not provide the benefits that ON24's solutions offer. These boomerang customers not only highlight the power of our platform, but they also contributed to the improvement in our ARR performance in Q2. Turning to customer metrics. We have continued to shift focus to our larger enterprise customers, resulting in improvements in a number of our customer metrics. In Q2, the number of customers with ARR of over $100,000 grew by 5 and represented approximately 2/3 of our total ARR. And as Sharat mentioned, our focus on enterprise customers resulted in our average core ARR per customer reaching its highest level ever. Our strategy of moving customers to longer-term commitments is also paying off, with the percentage of our ARR in multi-year agreements the highest ever at the end of Q2 at over 50%. As our customer base continues to adopt more of our products, we have continued to see an increase in customers using 2 or more products with that metric also hitting an all-time high at the end of Q2. Total customers at the end of Q2 was 1,566, driven by a net reduction in SMB customers. Before turning to expense items and profitability, I would like to point out that I will be discussing non-GAAP results going forward. Our non-GAAP results exclude stock-based compensation, restructuring charges, impairment charges for real estate, amortization of acquired intangibles, shareholder activism-related costs, certain legal costs related to litigation regarding our 2021 IPO, as well as certain other items. Our GAAP financial results, along with a reconciliation between GAAP and non-GAAP results, can be found within our earnings release. Our gross margin in Q2 was 77%, consistent with 2024 gross margins and Q1 of this year. Now, moving on to operating expenses. Sales and marketing expense in Q2 was $15.1 million compared to $15.8 million in Q2 last year. This represents 43% of total revenue, compared to 42% in the same period last year and 45% last quarter. Our sales and marketing expenses have decreased in absolute dollars, both year-over-year and from last quarter, largely due to the cost savings measures we have implemented to improve operational efficiency in that organization. R&D expense in Q2 was $6.9 million compared to $6.7 million in Q2 last year. This represents 19% of total revenue, compared to 18% in the same period last year and 20% last quarter. We continue to prioritize investments in product innovation for our platform to drive future growth, including AI-enabled features that utilize our first-party data advantage. G&A expense in Q2 was $6.1 million compared to $6.5 million in Q2 last year. This represents 17% of total revenue compared to 17% in the same period last year and 18% last quarter. We have continued to take actions to streamline our G&A functions. And as a result, our G&A expenses in absolute dollars have decreased compared to the same period last year and last quarter. Moving on to our bottom line performance and cash flow metrics. Operating loss for Q2 was $0.9 million, or a negative 3% operating margin, compared to an operating loss of $0.3 million and a negative 1% operating margin in the same period last year. Net income in Q2 was $0.9 million or $0.02 per share based on approximately 45.1 million diluted shares outstanding. This compares to net income of $1.5 million or $0.03 per share in Q2 last year, using approximately 45.8 million diluted shares outstanding. We delivered positive adjusted EBITDA in Q2, as well as our sixth consecutive quarter of positive free cash flow. Our free cash flow for Q2 was positive $2.5 million when you exclude cash outflows related to our restructuring efforts, shareholder activism fees and certain other legal costs, which collectively totaled $0.4 million in Q2 2025. Our free cash flow in Q2, including all of these items, was positive $2.1 million, compared to positive $0.9 million in Q2 last year. Cash provided by operations in Q2 was $2.6 million compared to cash provided by operations of $1.4 million in Q2 of last year. I would like to provide an update on the $50 million capital return program we announced in May of this year. In Q2, we utilized $4.3 million for share repurchases under this program and a further $2.5 million thus far in Q3 under this program for a total of approximately $6.8 million utilized to date under this program. This share repurchase program followed the completion of 3 earlier capital return programs, which collectively returned $191 million to shareholders. Our balance sheet remains strong with just under $180 million of cash and investments at the end of Q2. Now, turning to our guidance. Regarding Q3 guidance, we expect Q3 total revenue, which includes our Virtual Conference product, in the range of $33.6 million to $34.2 million, and core platform revenue, including services, in the range of $33.0 million to $33.6 million. Professional Services is expected to represent approximately 7% of total revenue. We expect our gross margin to be approximately 76% in Q3. We expect a non-GAAP operating loss in the range of $1.3 million to $0.7 million and non-GAAP net income per share of $0.00 per share to $0.02 per share, using approximately 45 million diluted shares outstanding. In Q3, we also expect to be adjusted EBITDA positive. We expect a restructuring charge of $0.1 million to $0.4 million in Q3 related to our ongoing cost reduction efforts, which is excluded from the non-GAAP amounts provided above. Amortization of acquired intangibles, shareholder activism costs, certain other legal costs and certain other items are excluded from the Q3 non-GAAP amounts provided above. Now, turning to our annual guidance for 2025. For the full year, we expect total revenue to be in the range of $137.7 million to $138.7 million. Professional Services is expected to represent approximately 7.5% of total revenue. We expect core platform revenue, including services, to be in the range of $135.2 million to $136.2 million. We expect a non-GAAP operating loss in the range of $5.2 million to $3.8 million, and non-GAAP net income per share of $0.02 per share to $0.05 per share, using approximately 45 million diluted shares outstanding. We expect gross margins for the year to be 76 to 77%. We expect to be adjusted EBITDA positive in Q4 and for 2025, our second consecutive year of positive adjusted EBITDA. Excluding any incremental non-GAAP expenses, we expect to deliver positive free cash flow in 2025, our second consecutive year of positive free cash flow. Restructuring charges and amortization of acquired intangibles, shareholder activism costs, certain other legal costs and certain other items are excluded from the full year non-GAAP amounts provided above. I also want to provide our outlook for ARR for the second half of this year. For ARR in Q3, which has historically been a seasonally softer quarter for us, we assume core ARR performance in Q3 to be relatively consistent with Q2, with core ARR down by $0.5 million to $1.5 million compared to Q2 levels. For our Virtual Conference product, we expect Q3 ARR to decline by approximately $0.1 million in Q3, ending Q3 at $1.9 million. We expect to return to positive ARR growth in Q4 of this year, driven by improved retention, as well as expected improvement in our gross bookings in the fourth quarter. We expect the increase in core ARR to be between $0 and $1 million in Q4 as compared to Q3. Virtual Conference ARR is expected to be $1.8 million at the end of Q4. In summary, in Q2, we delivered on the goals we set on our prior earnings call, including delivering positive adjusted EBITDA and positive free cash flow in Q2, as well as positive free cash flow for the first 6 months of this year. We're executing on the $50 million share repurchase program we announced in May to capitalize on the opportunity to acquire more of our undervalued stock. We are committed to delivering positive adjusted EBITDA for 2025, while continuing to invest in AI-focused innovation that capitalizes on our first-party data advantage. We expect our strategic initiatives and positive momentum to drive a return to ARR growth in Q4 of this year. With that, Sharat and I will open the call up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Rob Oliver.
Robert Cooney Oliver: I had 2, Sharat, one for you and then, Steve, one for you. So Sharat, I was wondering if you could just provide a bit more color just on the general market environment within your customer base in terms of buying trends, what you're seeing, if there's -- if you feel as if Gen AI is starting to be a bit of a catalyst for you guys, given where you are with AI-powered ACE, or whether it's still freezing marketing departments a little bit? And then, Steve, for you, my question is around just that pipeline heading into Q4 and the confidence around the ARR strength in Q4 and how that pipeline looks. And any color you can provide around making us comfortable around that number would be great.
Sharat Sharan: Rob, this is Sharat. So let me take -- I think your first comment was about how are the customer conversations. Look, in Q2, we saw good enterprise new business performance, improved gross retention and traction with AI-powered ACE. We continue to see customer win-backs, and these customers are signing up for larger deals compared to their previous engagement with us. There are a couple of key highlights that we are seeing in these customer conversations. One, as you said, there's excitement, Rob, pertaining to our AI offerings and increased sophistication, as most companies are now dealing with their own AI agenda. I'm increasingly seeing more traction in areas like financial services and life sciences for our AI-powered ACE offering that earlier had started slower out of the gate. Now, the customer appetite overall in the market environment does depend on market segments. Some segments are beginning to focus more on growth initiatives like the financial services segment, and others are still challenged like the manufacturing segment, okay? Now, as examples that I highlighted in the prepared remarks, in Q2, we saw some good performance from some of our larger customers. One of our largest customers, which is an education and certification company for the technology industry, renewed its multi-year commitment to ON24, and larger customers in insurance and life sciences expanded their commitments by using more ON24 products, including AI-powered ACE and expanding across their business segments. Now, you'd also asked a question, and I'll give the guidance kind of question to Steve, on pipeline. Q2 was a strong pipeline generation quarter for us. This was encouraging because we made some go-to-market improvements that included new sales and marketing leadership, and the launch of new positioning and messaging. So that was quite encouraging. I believe that we will continue to see improvements here as the year progresses. Steve?
Steven Vattuone: Rob, you asked about how we're feeling about guidance. So let me start by saying that we are seeing some good signs in the business, and we're making progress. We delivered over the high end of our revenue guidance for Q2. And on the P&L side, we're EBITDA profitable in Q2, and we're free cash flow positive for the sixth consecutive quarter. And we're also raising our full year revenue guidance as well. Really quick, in terms of profitability and cash flow, we do expect to be EBITDA and EPS positive in Q3, Q4 and for 2025 as a whole. And for cash flow, we expect to be cash flow positive for 2025, excluding any incremental non-GAAP items like restructuring. Now Sharat talked about ARR, but just briefly, Q3 is a seasonally softer quarter for us, and we expect it to be relatively consistent with Q2 ARR performance. We provided guidance on that. And as we look at the second half, we do expect to be ARR positive in Q4 with an increase of $0 to $1 million and expect to exit 2025 with some ARR growth in Q4.
Sharat Sharan: Just to add to what Steve said, we are very -- we were very close to being ARR positive in Q2. And as I talked in the prepared remarks, if you compare first half 2025 to the first half 2024, almost all financial and customer metrics trended positively. That's what gives us confidence to expect ARR performance for Q4 to grow between $0 and $1 million. It's tied around improvements in gross retention, new business performance, our focus on regular industries like financial services and life sciences, and continued traction in our AI offerings and win-backs from boomerang customers. So, as I look at 2026, it is early, and we are not giving 2025 guidance, but based on the progress we have made, I expect to be ARR positive for the year.
Operator: Your next question comes from the line of Ian Black from Needham & Company.
Unidentified Analyst: Congratulations on the growth in $100,000-plus customer count. How are you driving greater penetration within your enterprise customers? Like is it balance between volume versus product cross-sell? Just some insight into that would be great.
Sharat Sharan: Yes. So, on the $100,000-plus customers, that base grew in Q2, signaling traction in enterprise segments. We saw good traction in new business acquisitions. And we also saw customers up-leveling their commitment to ON24. I gave a couple of those examples in the prepared remarks. Now, while there may be some quarter-to-quarter seasonality, especially in slower quarters, we are seeing improvements in our enterprise execution, our focus on regular industries, win backs, et cetera. And I'll highlight a couple of things. Our enterprise customer metrics in Q2 were quite strong. Average core ARR per customer was the highest ever. And the percentage of ARR and multiyear agreements was the highest ever, and that is what we are focused on. So this is based on more adoption of different use cases, more adoption of AI-powered ACE, and also more strength in the new business, kind of acquisition of business, Ian.
Operator: There are no further questions at this time. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.